Operator: Thank you for standing by, and welcome to the Q4 2022 AGF Management Limited Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference. Ms. Quinn, you may begin.
Jenny Quinn: Thank you, operator, and good morning, everyone. I'm Jenny Quinn, Vice President and Interim Chief Financial Officer of AGF Management Limited. Today, we will be discussing the financial results for the fourth quarter and fiscal 2022. Slides supporting today's call and webcast can be found in the Investor Relations section of agf.com. Also speaking on the call today will be Kevin McCreadie, Chief Executive Officer and Chief Investment Officer. For the question-and-answer period with investment analysts following the presentation, Judy Goldring, President and Head of Global Distribution, will also be available to address questions. Turning to Slide 4, I'll provide the agenda for today's call. We will discuss the highlights of the fourth quarter and fiscal 2022, provide an update on the key segments of our business, review our financial results, discuss our capital and liquidity position, and finally close by outlining our focus for 2023. After the prepared remarks, we will be happy to take questions. With that, I will now turn the call over to Kevin.
Kevin McCreadie: Thank you, Jenny, and thank you, everyone for joining us today. Fiscal year 2022 saw continued market volatility. Despite the challenging macro backdrop, we had another solid year. I'll begin with some highlights. We reported AUM and fee earning assets of $41.8 billion at the end of Q4, down just 2% from 2021 despite the market volatility. Our mutual fund business reported net sales of $251 million in the quarter, marking the ninth consecutive quarter of positive mutual fund net sales. For the year, we achieved mutual fund net sales of $765 million despite the industry being in net redemptions of $41 billion. Supporting our positive mutual fund flows was our strong investment performance. As you know, AGF measures mutual fund performance by comparing gross returns before fees relative to peers within the same category, with the first percentile being the best possible performance. We target an average percentile ranking versus peers of 50% over any one year and 40% over three years. At the end of Q4, the average percentile ranking was 41% over the past one year and 30% over the past three years, with a number of our top selling funds remaining in the top quartile. In recognition of our fund performance, AGF Global Select Fund won the Lipper Fund Award for the three, five and 10 year performance in the global category. Our strong performance was attributable to our disciplined investment and risk management processes, the cautious tone we had about the market since the fall of 2021, and our tactical approach in the cash level on the use of liquid alternative assets in our funds. Looking at the past three years, the market has experienced a drawdown with COVID, the subsequent recovery and the drawdowns in the current monetary tightening. In the midst of that market volatility, we continued to deliver strong investment performance and our product lineup remained resilient. Turning to our financials. We reported diluted EPS of $0.32 for the quarter. On a full year basis, we reported diluted EPS of $0.96. During the quarter, we completed a substantial issuer bid where we took up 3.5 million shares for a cost of $24 million. We ended the quarter with $59 million in cash, $220 million in short and long term investments, and $22 million in long-term debt. Our capital position remains strong and we are well-positioned to continue to weather the macro uncertainties and have capital available to return to shareholders and strategically invest to generate recurring earnings. Finally, we paid a quarterly dividend of $0.10 per share for the fourth quarter. Starting on Slide 6, we will provide updates on our business performance. On this slide, we break down our total AUM and fee-earning assets in the categories disclosed in our MD&A and show comparisons to the prior year. Mutual fund AUM was essentially flat year-over-year. I'll provide some more color on our fund business in a moment. Institutional, sub-advisory and ETF AUM decreased compared to prior year, mainly due to markets. We continued our strategy to expand the U.S. SMA business. We have onboarded a number of our strategies onto three leading turnkey asset management platforms, Vestmark, SMArtX Advisory Solutions LLC and Envestnet, as well as other leading wealth management platforms. Our U.S. SMA relationships continue to generate positive flows and AUM is expected to grow gradually over time. Our liquid alternative products continue to attract interest from investors who are looking for a strategic or tactical hedge for their portfolios. Managed by our quantitative team in the U.S., our Market Neutral Anti-Beta strategy is designed to generate positive returns in volatile markets and preserve capital in a downturn. At the end of last week, the AUM for this strategy has doubled to over $900 million from just over a year ago. Finally, we continue to see interest from institutional investors across multiple strategies and jurisdictions, which bode well for future sales. Our Private Wealth businesses continue to demonstrate resiliency with AUM only decreasing 1% year over year. Our Private Capital AUM and fee-earning assets were $2.1 billion. It is our goal to grow and diversify our private markets business and to be one of Canada's emerging leaders in private market investing. We are focused on expanding our existing relationships and continue to explore other unique opportunities to grow our Private Capital business and product offerings. Turning to Slide 7, I'll provide some detail on the mutual fund business. The mutual fund industry continued to experience net outflows, worsening to net redemptions of $28 billion for the quarter ended November 2022. Despite the industry trend, our mutual fund businesses remained positive and recorded $251 million of net sales in the quarter. This includes the win of $230 million allocation from a strategic partner that we disclosed last quarter. Excluding the net inflows from institutional clients invested in our mutual funds, retail mutual funds were in net sales of $76 million for the quarter. AGF's outperformance to the industry is attributable to our strong investment performance, our strong brand, the diversity of our sales channels, and our team's continued efforts to build key relationships with our clients and partners. With that, I'll turn the call back over to Jenny.
Jenny Quinn: Thanks, Kevin. Slide 8 reflects the summary of our financial results for the fourth quarter with sequential quarter and year-over-year comparisons. EBITDA before commissions for the current quarter was $30.2 million, $3 million lower than Q3 2022. EBITDA this quarter included higher income from Private Capital, which is offset by higher expense levels. Net revenue for the quarter was $70.5 million comparable to Q3. SG&A for the quarter was $51.5 million. Excluding severance, SG&A for the quarter was $49 million, which is $2.8 million higher than Q3 due to timing of activities and higher performance based compensation. AGF Private Capital contributed EBITDA of $8.5 million in the quarter, which is $1.9 million higher than Q3. EBITDA from Private Capital managers this quarter included $1.2 million of carried interest revenue, recognizing strong performance in one of our long-term Private Capital investments managed by SAF. EBITDA for Private Capital LP funds was $7.1 million, which is $1.2 million higher than Q3. AGF participates as an investor in the units Private Capital LP funds, benefiting from valuation increases and distributions from the funds which can vary. On the long-term basis, we expect returns of 8% of 10% from investing in Private Capital LP. On a full year basis, EBITDA before commissions was $138.6 million, a $11 million higher than prior year. Net revenue for the year was comparable to prior year. SG&A for the year was $194.6 million, which includes $4.4 million of severance. Excluding severance, SG&A in 2022 was $190.2 million, which is in line with our guidance provided on the Q3 call and $2.4 million lower than prior year, mainly due to lower performance and stock-based compensation. EBITDA from Private Capital was $28 million, $9.2 million higher compared to prior year mainly due to higher contributions from our long-term investments. And then EPS was $0.96 for the year, which is 75% higher from prior year. Our net income and EPS were bolstered by the elimination of the deferred selling commission purchase option, which came into effect June 1, 2022. The elimination of the DSC will provide a temporary lift to our net income and free cash flow. However, this lift bellwethers over time. Turning to Slide 9, I will walk you through the yield on our business in terms of basis points. This slide shows the net revenue, operating expenses and EBITDA before commissions as a percentage of average AUM for the fourth quarter with sequential quarter and year-over-year comparisons. To provide a more normalized yield to yield that we earned, we have excluded AUM and related results from the Private Capital business as well as other income, DSC revenue, severance and corporate development costs. The Q4 net revenue yield is 75 basis points, which is 1 basis point lower compared to prior quarter and flat compared to prior year on a full year basis. As a reminder, net revenue basis points will fluctuate depending on the percentage of our mutual fund assets and the product and series mix within those assets. Q4 SG&A as a percentage of AUM was 52 basis points, 3 basis points higher compared to the prior quarter. As previously mentioned, expenses were higher this quarter due to timing and higher performance based compensation. On a full year basis, SG&A was 49 basis points, 1 basis point lower than prior year. This resulted in an EBITDA yield of 23 basis points in the quarter, compared to 26 basis points in the prior quarter. Full year EBITDA yield was 27 basis points, 1 basis point higher than prior year. Turning to Slide 10, I will discuss free cash flow and capital uses. This slide represents the last five quarters of consolidated free cash flow on a trailing 12-month basis, as shown by the orange bars on the chart. The black line represents the percentage of free cash flow that was paid out as a dividend. Our trailing 12-month free cash flow was $70.3 million, and our dividend payout ratio was 37%. In the same period, we have returned $72 million to shareholders. That includes dividends, share repurchases under our NCIB, and the $24 million substantial issuer bid completed in November 2022. This is monetization of our investment in S&W in the fall of 2022. We have returned $150 million to our shareholders. Our cash balance at the end of November was $59 million, and we have $220 million in short and long term investments. We have $128 million remaining on our credit facility, which provides credit to a maximum of $150 million. We are comfortable increasing our net debt-to-EBITDA up to 1.5 times to the right opportunities arrive. Our remaining capital commitment to our private markets business is $43 million. It’s not included in this as our anticipated commitment of $50 million to an upcoming third fund managed by Instar. Capital commitments may be funded from excess free cash flow. But keep in mind, there will also be further recycling of capital as monetization occur, which will help to fund future commitments. Taking all that into account, we currently have excess capital available. Redeploying that excess capital to generate recurring earnings is a key strategic priority. We will have further updates on this in coming quarters. Turning to Slide 11, I will turn it back over to Kevin to wrap up today's call.
Kevin McCreadie: Thanks, Jenny. In 2022, AGF celebrated its 65th anniversary. The firm's longevity is a testament to our history of innovation, disciplined investment approach, and an unwavering commitment to our clients. This year, it was another solid year for us despite the challenges facing the markets and the industry. In such environments, our AUM and fee-earning assets remained resilient. We continued to outperform the industry and recorded the ninth consecutive quarter of positive mutual fund net flows. This is the longest streak of mutual fund net sales we've seen in the past 20 years. We delivered strong investment performance through our disciplined processes and focus on risk management. Diluted EPS for the year was $0.96. Our SMA business gained momentum in 2022, and then we have onboarded a number of our strategies on to several leading U.S. SMA platforms. Ash Lawrence joined us as Head of Private Capital to lead the growth of our private markets businesses. We welcomed employees for our new head office at CIBC Square, which marked the official start of our hybrid work approach. The space provides our employees with a flexible workspace, enhanced collaboration and greater communication while continuing to advance the reduction of the firm's office footprint by approximately 22%. As we navigate the uncertainties in the market, we remain focused on building on the momentum from the past few years, managing the risks and our results and creating value for our shareholders over the long term. As we look ahead to 2023, we are announcing SG&A guidance of $202 million. Our SG&A guidance does not include costs related to corporate development and excludes severance. At AGF, the most important asset is our people as they play an integral role in the firm's success. AGF is committed to being an employer of choice, which means looking at responsible practices and initiatives to attract, develop and reward employees. We continue to be thoughtful and disciplined in our approach to expenses, while also investing for growth, especially into our Private Capital business. SG&A for 2023 reflects these investments as well as the inflationary market environment. As a reminder, our SG&A includes variable compensation. A significant improvement in sales or investment performance could result in higher variable compensation expenses. We have a strong balance sheet to strategically invest and redeploy excess capital to generate recurring earnings and return capital to shareholders. We continue to evaluate our pipeline of capital deployment opportunities. However, with the current market environment, conditions to complete a transaction continue to be challenging. As we head into fiscal 2023, we remain focused on our strategic priorities, which are to deliver consistent and repeatable investment performance, maintain sales momentum and generate net inflows, build a diversified private markets business, beat our expense guidance and continue to invest in key growth areas, and enhance our corporate sustainability programs. Finally, I want to thank everyone on the AGF team for all their hard work. We will now take your questions.
Operator: Clearly with the Jardiance. Your line is open, please ask your question.
Chi Le: Hi. Good morning. This is Chi asking in for Gary. Kevin, can you talk a bit about how you're achieving your three-year fund performance percentile? It's been a choppy market since the last few months, so how have you maneuvered for that? And can you also expand on your outlook for 2023?
Kevin McCreadie: Yeah. Thank you, Chi. Yeah. Obviously, if you think about the last three years, we've had, as I mentioned in my remarks in the call, the drawdown from COVID, massive recovery in the same year, and then pretty strong year in '21 followed by the drawdown in '22 on the idea of Central Bank tightening. Now begin that on all sizes what I look at, and I think it's a testament to frankly that we've got a disciplined view of things. In the market, last year was one where we had to be more tactical and probably more defensive, so that positioning helped. And so, when I look at December, which was also equally a tough month to remember, we gave everything we got back in the end of November back in the market in December. And we continue to improve on those track records. So, I feel pretty good about the performance because that sets us up obviously now for the next couple of years of sales. And probably more importantly, we didn't have any, what I call, blowups. So the cardinal sin in this industry is where you -- in a negative market like last year, you have performance that's even worse than the market, and then you are on defense. So we have, obviously, none of that to deal with. So we can really play offense and talk about how we've helped investors through this. As far as where we go in 2023, obviously, we have some more volatility ahead. But obviously, the worst of the monetary tightening is behind us. I mean, what we know about our industry is that our company's asset management industry goes down first with the market because obviously that's where we're sensitive to, and we all move in the recovery while you're in a recession. So, I think it's going to be volatile year, but a very different year. Obviously, the tone of the market will set the tone of the investor sentiment around investing this year, but I think obviously we're through most of the worst of it. So I think a volatile year, but probably one that sets up sort of better back half.
Chi Le: Thank you. My second question is on the flow side. So you'll continue to see some decent momentum to start a new year. What are you hearing from your distribution partners as we head into the important RSP season? And what products they are most interested in?
Judy Goldring: Thanks, Chi. This is Judy Goldring. We continue to see strong flows going into our global equity and fixed income has picked up significantly as well. And so we are expecting to see sort of across the broad portion of our offering sort of interest across the different channels. And I think we remain certainly optimistic or cautiously optimistic around the upcoming next couple of quarters. And Kevin, did you want to add something on market?
Kevin McCreadie: Yeah. No, I think that Chi, as I've said, if we stay with a lot of volatility, obviously that will impact flows. But to the extent that -- again the industry losses here in Canada is something that looks close to $50 billion last year in outflow, that's sitting in cash and GICs. As the market firms or at least starting to flatten out, some of that will come back. Obviously, the big month for us all is the -- is February for the RSP season. And so to the extent that investors feel like the worst is behind and we could see some better year on that front. So I'd say -- and then probably the second thing is related to product specific. Global has been in place for people. We expect those flows to continue. Most of our suite is more globally oriented and I'd say that the other place will be fixed income. We're really well positioned as well. As investors probably won't have a repeat of three negative quarters of fixed income returns last year, you can really get yield now. And so, I think that suite of products will do well in this environment as we move forward.
Chi Le: Thank you. And just my last question on the private notes (ph). Can you elaborate on the fair value adjustment this quarter? It seems like -- also seems like the private old (ph) amount on your balance sheet, that's creeped up sequentially. So maybe provide a bit more color there. And lastly, may be just some timing and thoughts on the $5 billion mark? Thank you.
Jenny Quinn: Thanks, Chi. This is Jenny Quinn. So our investments in our long-term investments increased 100 -- from $176 million at Q3 to at the year at $199 million. So, three things happening in there. We had a $23 million increase, which was $17.6 million in capital calls for the quarter, and then we also recognized a $2.1 million adjustment in fair value. And then, finally, we had a reclassification of routes to distribution income of $3.5 million. So those are the three pieces that are increasing it from the $176 million to $199 million. So a small piece of that is the fair value, most of it was distribution income.
Kevin McCreadie: Yeah, Chi. It's Kevin. Let me touch on the $5 billion, and we still are committed to that target. Obviously, as we said, towards the later part of last year with the environment around us, getting transactions done was difficult and continues to be difficult. But we still feel pretty comfortable we'll get there this year in 2023. And the environment being one we're again, things we're looking at. Sellers want yesterday's multiple and we want to pay todays multiple, that takes a while to solve, but the pipeline of things we're looking at is very robust. So we feel pretty comfortable in that mark.
Chi Le: Thank you. I'll pass the line.
Operator: Thank you. [Operator Instructions] Our next question comes from Graham Ryding with TD Securities. Your line is open.
Graham Ryding: Hi. Good morning. Just maybe to start on the SG&A guidance. Is that up slightly? I think you said $202 million for the year. Is that up slightly from the preliminary guidance provided last quarter?
Kevin McCreadie: Hey, Graham. It's Kevin. Yeah. I mean, we've looked at going through our budget cycle and obviously when we had strong investment performance, strong sales performance. And I think about us being an industry leader, we have great talent and to keep that talent, as we want to be pretty certain around that in terms of securing where we're going with it. And I think, at the same time, when we look around, we have a lot of inflation as we all know. And so we've tried to be really competitive around that to take care of our employees. So that is probably the biggest chunk of it. And second to that I'd say is the build-out of the Private Capital business is also in there. So there is a spike to where we were on this year's guidance from where we were a couple of quarters ago.
Graham Ryding: Okay. Perfect. Helpful. Primerica, just maybe looking for an update there on what the fund sales look like in terms of what classes of funds because I know you have a bespoke, I think, F class type fund that you've created for them. Is that what's driving the sales or are they going into A class funds? Just maybe some color there.
Judy Goldring: Graham, this is Judy. We launched a specific comprehensive suite of 19 funds exclusively for Primerica, so their flows go directly into those funds. And as you know, a principal distributor relationship and we're seeing in terms of the flows are going in across the various offerings that we have on our platform. And so we're supporting -- we're supporting that business and we're seeing some good momentum in that channel.
Kevin McCreadie: Yeah. And Graham, I'd also add to it. It's Kevin. We don't talk about specific clients, but I would tell you this. We can't tell how well that would be doing without the backdrop of this market behind us, right, which we know is hanging over that. But having said that, we're very pleased with where we are with that relationship and that launch. So again, as cloud of the market clears, we'll get a better look on that.
Graham Ryding: Okay. And just to be clear, Judy, are those funds like an F class type structure with no trailer fee associated?
Judy Goldring: Correct.
Graham Ryding: Okay. And I guess building on that, any implication then for what you're sort of expecting over time, as sales move into that class of fund, is that going to have an impact on your overall management fee rate and your trailer fee rate in terms of basis points? How should we be thinking about how that evolves?
Judy Goldring: Yeah. So there's no transferring of the funds from historical or legacy PFS assets. This is purely net new assets going into this comprehensive suite of funds that we have. So as they -- as PFS evolves their business, they are successfully transitioning out of the DSC model structure that was in place previously and moving into this new principal distributor relationship. And they've been doing it quite successfully.
Kevin McCreadie: Yeah. So over time, Graham, what you'll see is, we still think there is a basis point or two a year in terms of our -- now basis points on revenue. As obviously these funds -- the legacy funds stay in place, the new funds will come on at a lower rate because of that model. But that will shift over time. So, I think 1 basis point or 2 basis points a year.
Graham Ryding: Okay. And the trailer fees, should we expect those to be moving down as well over time? Because I know there's kind of puts and takes there as DSC falls off, they pickup. But then if you're putting on new funds and have no trailer associated and that's going to have an impact as well. So, any color on how we should be thinking about that?
Jenny Quinn: Hey, Graham. It's Jenny. So, again, just think that it really comes down to the next of the assets. So, as we will get assets coming on schedule, which will bump-up that trailer rate, but then as these scale across the board of the AUM, it will offset that. So we would expect it to decrease slightly over time. So you might want to say 1 basis point a year over time.
Graham Ryding: Okay. That's helpful. Judy, you're on, I think, three SMA platforms now in the U.S. Can you just quantify what that was in fiscal '22 in terms of net new assets from those platforms?
Judy Goldring: Yeah. We have very much focused in the U.S. on the SMA opportunity. We see that as a great opportunity to run three platforms and then, as Kevin mentioned in his opening remarks, for on the TAMP platforms as well. And across the board on the SMA specifically in Canada and the U.S., we've seen growth of those assets over time and we now have about $500 million. So we've seen great progress and I think we're seeing continued success. The $500 million is just specified as U.S. And in Canada, we're seeing some additional flows in the SMA platform as we focus on that channel up here as well.
Kevin McCreadie: And Graham, the SMA platforms in the U.S. are actually ahead of where we are in Canada, but we'd expect platforms here to pick up as well as people get more vehicle agnostic, right, meaning it could be a fund, could be an ETF, could be an SMA. But obviously the platforms in the U.S. are well ahead of where we are in Canada.
Graham Ryding: Okay. Great. One more if I could get a little greedy here. I noticed that you said Ash Lawrence presented to the Board a strategic plan for the private assets platform. Is there anything incremental there that we should be aware of or any update?
Kevin McCreadie: Yeah. I mean one of the things that it will bring to the table is, obviously, when we get through a deal here, we recognize that part of the business gets bigger, we'll have to get better and more complete disclosure on some of that. So look for us Ash to be present on these calls as we move into time as well. But really no change to where we had set out with the Board in mid-year. I think he should have been executing them.
Graham Ryding: Okay. That's it for me. Thank you.
Operator: Thank you. And our next question comes from -- one moment. Nik Priebe from CIBC, your line is open.
Nik Priebe: Okay. Thanks. Good morning. Just back to the mutual fund flows, I think you alluded to certain products that we're experiencing pretty healthy demand environment. Just wondering if you can help us understand the breakdown of those mutual fund flows in the quarter by asset class or maybe the split between long term and money market? I'd just like to drill down a bit and try to understand the composition of those flows a little better.
Kevin McCreadie: Yeah, Nik. We have very little money market, so most people come to us for a long term. So, I would say, money market has been kind of the non-issue for us, whereas you're seeing some of the other players, the banks are seeing money come out funds into money market or GICs, that won't be an issue for us. But it's been broad based. It has been across -- again, we're more global than most, so that has been a better place to play. So -- and then, performance has been broad based and broad based really strong. So flows are probably more global equity-driven, but picking up on the fixed income side as well. So I'd say, it's not a specific fund or category that I would point to. I'd say it's been pretty solid across the board, but definitely don't think about it as money market. That's not the driver.
Nik Priebe: Okay. Good. And then I think just a point clarification. I think you had highlighted that quarter-to-date mutual fund sales were still positive. Are there any chunky allocations that were won in the I Series supporting that quarter-to-date result or is that a pretty clean number?
Jenny Quinn: So just -- yeah. I know there's sometimes, some confusion. We do adjust our mutual fund sales just for non-recurring institutional net sales or redemptions that are in excess of $5 million that have been invested into our mutual funds. And so when you -- we did announce the $230 million win, which is positive flows for a strategic partner in November as well, there was a smaller redemption of about $56 million that came out during the quarter. And so, as a result, our net sales number, that is true, flows in retail is about -- is $76 million.
Nik Priebe: Got it. And then I was just thinking more along the lines of subsequent to quarter-end. I think you just -- that the quarter-to-date sales were positive. I was just wondering if that would have been adjusted for I Series as well.
Jenny Quinn: Yeah, no. And just to clarify, that that's December 1 to January 20, we saw $62 million in sales and that's not been adjusted. There is no adjustment.
Nik Priebe: Got it. Okay. No, very good. Okay. That's it for me. I'll pass the line. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Geoff Kwan with RBC. Your line is open.
Geoff Kwan: Hi. Good morning. Just first question was on the 2023 SG&A expense guidance. I know you mentioned it excludes separate severance and corporate development. On the corporate development thing, is that just things that might be things around M&A and those sorts of things or there other things that you would classify in corporate development that would be outside of that scope?
Kevin McCreadie: Yeah. I know it's just transaction-related things where we do transaction on something this year. So you're right, Geoff, it's real M&A-type stuff.
Geoff Kwan: Okay. And just my other question was just on the institutional side of the business. Can you share what the net flow number was for Q4? What you're seeing like in terms of the committed pipeline in terms of other new sales or potential redemptions? And just in general, the outlook as you can see it over the next few quarters?
Judy Goldring: Sure. It's Judy. So if we look back over the last sort of six quarters, we've seen strong flows of that $500 million from a variety of different clients, institutional clients in our SMA platform. When we are looking forward, we're continuing to see strong RFP activity. At this point, there's no committed sales pipeline at this juncture and very nominal small committed redemptions of about $85 million in the next quarter. But we are seeing a significant pickup in the RFP activity, largely in the global equity and U.S. growth space along with our sustainable mandates.
Geoff Kwan: Great. Thank you.
Operator: Thank you. And I'm not showing any further questions. Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. AGF's next earnings call will take place on March 22, 2023. You may now disconnect.